Operator: Good morning, and welcome to the Western Union First Quarter 2012 Earnings Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead.
Michael A. Salop: Thank you. And good morning, everyone. On today's call, Hikmet Ersek, Western Union's President and Chief Executive Officer; and Scott Scheirman, EVP, Chief Financial Officer and Global Operations, will discuss 2012 first quarter results. Following the remarks, we will open the call for questions. The slides that accompany this call and webcast can be found at westernunion.com under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in supplemental tables with our press release. As we noted in our February earnings call, beginning with this quarter, Western Union has implemented a new segment structure to reflect the acquisition of Travelex Global Business Payments, management changes and strategic initiatives. We now classify segments as Consumer-to-Consumer, Consumer-to-Business, Business Solutions and other. The Consumer-to-Consumer segment has not changed from our previous reporting. Other primarily includes retail money order, prepaid and Mobile Money Transfer. Within Consumer-to-Consumer, we now provide metrics on 6 regions. These include Europe and the CIS, North America, Middle East and Africa, Asia Pacific, Latin America and the Caribbean and westernunion.com online money transfer. Our India and South Asia business is now included in the Asia Pacific region. As a result of reporting these additional regions, we will no longer be providing individual country metrics in our supplemental tables. However, we will give you color on country performance and will continue to provide domestic money transfer and Mexico results throughout 2012. We issued an 8-K last week, which describes the new segments and regions as well as provides historical reclassifications. As a reminder, today's call is being recorded, and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2011 Form 10-K, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by Western Union officers on this call are the property of The Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay or distribution of any transcription of this call. I'd now like to turn the call over to Hikmet Ersek.
Hikmet Ersek: Thank you, Mike, and welcome, everyone. Overall, our performance in the quarter was generally in line with our expectations, and we made some good progress in our 3 strategic growth areas of Global Consumer Financial Services, Business Solutions and Ventures. In consumer-to-consumer money transfer, our revenue growth accelerated compared to the fourth quarter as constant currency revenue growth increased to 5%. Our North American business was generally strong, and we also saw improved revenue trends in the Middle East, Africa and Asia Pacific regions. U.S. domestic money transfer continued to deliver good growth, and Mexico revenue increased in the quarter. The expected softness in Europe and Russia is here and we did see flat results for the region compared to a year ago, but revenue trends were slightly improved relative to the fourth quarter. We made more progress in advancing our class-of-trade strategies in money transfer. We recently signed SunTrust Bank as an agent in the U.S., adding to a list that includes U.S. Bank, KeyBank, Regions, Fifth Third and others. Globally, almost 60% of our Western Union agent locations are banks and post offices, but we are also widely present in retail, supermarkets, travel agents, other financial services and many more classes of trade. I'm also very pleased to announce that in April we reached 500,000 agent locations around the world. This is a huge milestone in Western Union's 160 years of history. We believe the expansion of our presence in 200 countries and territories will continue and it will remain a competitive advantage to grow our core money transfer and other products. Beyond our core Global Consumer Financial Services, we are also making progress evolving our new businesses. Although our Business Solutions pro forma revenue growth of 5% was below our target due to some softness in North America and the U.K., our new customer acquisitions remained strong and our geographic expansion is progressing. Business Solutions is now able to offer services directly or through partners in 25 countries. Our integration efforts with Travelex are on track. Our growth strategies are being implemented, and we remain committed to low double-digit constant currency revenue growth for this business over the next several years. In Ventures, we continue to make excellent progress with digital money transfer as westernunion.com revenues increased almost 40% in the quarter and shortly will again deliver double-digit revenue growth. We have begun our additional investment in digital. Our San Francisco office is up and running and we remain very excited about the opportunity and results we are seeing with this business. The innovation regarding additional channels and products at Western Union is happening. I'm also pleased to announce the appointment of David Thompson as Western Union's new Chief Information Officer. David will serve as the company's Head Technology Officer responsible for building and supporting the next-generation payments, products and services. He was most recently Global CIO of Symantec and was previously at Oracle and PeopleSoft. Turning to our results for the quarter. Our operating margins was below last year's level. It was primarily the result of the impact of Business Solutions and the Travelex acquisition, investment and some expense timing. However, we believe we will see the margin improve from the first quarter as we move through the year and are forecasting the full year margin to be similar to last year. We resumed our share repurchase program in the quarter, buying back almost $150 million of stock and increased our dividend by 25% to $0.10 per share. In total, we returned over $200 million to shareholders in the quarter through buybacks and dividends. I also want to mention a few events in the quarter that do not show up in the financial results but are examples of the many ways we are evolving our business for the future as we continue to add new services and customers. We recently introduced WU Pay, a new and innovative electronic payments platform that allows online shoppers in the U.S. to pay for purchases from their bank accounts or in cash at Western Union agent locations. This provides ease for consumers, many of them who are not comfortable providing credit card numbers or other personal payment information online. WU Pay is also being added as a payment option for consumers to fund money transfer on westernunion.com. In Mobile Money Transfer, we signed a strategic agreement with Ericsson to integrate Western Union's Mobile Money Transfer services with Ericsson's platform. This will enable mobile networks operators who use Ericsson solution to easily add Western Union Money Transfer to their suite of offerings. And Ericsson has a relationship globally with over 450 mobile network operators. In Canada, we are teaming with Acxsys, a leader in debit payment services. This agreement will allow customers of the bank that connect to Canada's Interac funds transfer system to access Western Union money transfer services. Previously, these customers had a domestic account-to-account money transfer system, but now they will also be able to send and receive international money transfer through their online and mobile bank accounts with funds for payout at Western Union locations around the world. And in Business Solutions, we launched an exclusive agreement with Mercer Outsourcing in the U.K., the largest pension administrator, to handle payment to retirees living in 80 countries. These are just a few examples of actions we have taken to evolve Western Union. We believe strongly in our core, but we also know we are -- have a great opportunity to leverage our assets and extend more services to more customers as we execute our vision to be the premier financial service provider to the underserved. We hope you will be able to join us for our Investor Day on May 9 in New York City where you will hear much more about our strategies and plans to grow all of our businesses. However, right now, I would like to turn the call over to Scott to give you a more detailed review of the quarter. Scott?
Scott T. Scheirman: Thank you, Hikmet. Overall for the quarter, we delivered consolidated revenue growth of 9% on a reported and constant currency basis. Consolidated pro forma revenue increased 4%, or 5% constant currency, including Travelex Global Business Payments in the prior-year period. Consolidated pro forma revenue growth was driven by improved trends in our Consumer-to-Consumer segment. The Consumer-to-Business segment again delivered a slight revenue increase in the quarter. And Business Solutions revenue grew 5% on a pro forma basis, adjusting to include Travelex in the prior-year period. In the Consumer-to-Consumer segment, constant currency revenue growth accelerated to 5%, up from 3% in the fourth quarter. Transaction growth also improved to 7%, up from 5% last quarter. C2C cross-border principal increased 2%, or 3% on a constant currency basis, which was steady with last quarter. C2C principal per transaction declined 4% year-over-year or 3% on a constant currency basis. Turning to the regions. C2C revenue in the Europe and CIS region, which represented 22% of consolidated revenues, was flat year-over-year due to the expected softness in Southern Europe and Russia. This was a slight improvement from the 1% decline last quarter as the rate of decline in Russia moderated. Our turnaround strategies in Russia are being phased in, including adding a retail network, further developing our existing bank network with new locations, planning ATM kiosk providers, adjusting prices for various corridors and renewed marketing for the brand. Turning to North America. The region's revenues increased 5% compared to 2% last quarter. U.S. outbound and Canada strengthened while domestic money transfer continues to have solid momentum with revenue growth of 9% on transaction growth of 12% in the quarter. Mexico improved from last quarter with both revenue and transactions increasing 3% in the quarter. As we mentioned in February, we are still determining and implementing changes to our compliance-related practices in Mexico. Although we still expect to see some negative impact on the Vigo and Orlandi Valuta brands as we evolve our business model and compliance-related practices throughout the year, our Western Union brand is performing well. In the Middle East and Africa region, revenue increased 6% in the quarter, an improvement from 2% last quarter, with good growth from both the Gulf states and Africa. The Asia Pacific region grew revenues 7%, which is up slightly from last quarter's growth. This quarter's results were driven by growth across the region, including India and the Philippines. China revenue declined, although this was primarily due to our decision to restrict transfer from Argentina to avoid currency risk on our cash balances in that country. The Latin America and Caribbean region revenue grew 2%, which was down slightly from last quarter. Lack of revenue growth is being negatively impacted by currency translations compared to the prior-year period. Westernunion.com, which we now report as our sixth region, again delivered strong results as revenue increased 39% in the quarter. Westernunion.com results are not included in the growth rates for the other 5 regions. Total electronic channels revenue, which includes westernunion.com as well as account-based money transfer and mobile, increased 38% in the quarter and represented 3% of total company revenue. In addition to westernunion.com, we also continue to make strong progress with adding our services to online banking platforms. Revenue from account-based money transfer transactions increased 43% in the quarter. We now have nearly 90 banks signed for account-based money transfer, with 44 active, including U.S. Bank and Regions Bank in the U.S. Prepaid revenue increased 17% in the quarter. In total, prepaid, including third-party top-up, represented just under 1% of company revenue for the quarter. Our prepaid cards are now available at more than 20,000 retail locations globally, including over 19,000 locations in the U.S. We're now in 7-Eleven stores in the U.S. and have launched cards in the U.K., Germany and Austria. In the quarter, we had over $260 million loaded onto our cards through over 600,000 loads. Turning back to the total C2C business. The spread between transaction and revenue growth in the quarter was 2 percentage points, excluding the impact of currency which negatively impacted the spread by approximately 1 point. The impact of net price decreases was less than 1% in the first quarter, and mix was about 1%. For the full year, we continue to expect C2C price decreases to be in the range of 1% to 2%. Moving to the Consumer-to-Business segment. This business continued to have steady results, with the revenue increasing 1%, or 3% on a constant currency basis, led by international growth in South America. Business Solutions reported revenue of $87 million in the quarter, which compared to $28 million a year ago. On a pro forma basis adding last year's Travelex results back to the 2011 first quarter, Business Solutions revenue increased 5%, or 4% on a constant currency basis. Australia performed well where we saw some slower-than-expected revenue growth in our North America and U.K. businesses in the quarter. This was primarily driven by slower global trade growth and lower currency volatility in some markets. Currency volatility benefited Business Solutions in the second half of last year. Despite the slower growth in the quarter, our customer acquisition remained strong and we're continuing to expand to new markets. And the integration of Travelex Global Business Payments is progressing well. And we remain committed to delivering constant currency revenue growth in low double digits this year. Turning to consolidated margins. The first quarter consolidated GAAP operating margin was 23.9%, which compares to 24.4% in the prior year. Excluding $6 million of Travelex integration expenses, our consolidated margin was 24.3% compared to 26.3%, excluding $24 million of restructuring expenses in the prior-year period. EBITDA margin, excluding integration expenses, was 28.9% compared to 29.7%, excluding restructuring expenses, in the first quarter of last year. The primary driver of the reduction in operating margin was Business Solutions and the impact of Travelex Global Business Payments acquisition, including an incremental $10 million of intangibles amortization. The first quarter consolidated margin was also negatively impacted by higher marketing expenses, additional costs related to investments into new ventures and southwest border compliance, acquisition-related expenses for Costa and Finint and the timing of certain expenses. In addition, marketing expenses were 3.8% of revenue in the quarter compared to 3.4% in the prior year. For the full year, we expect marketing expenses as a percent of revenue to be similar to last year at around 4%. These impacts were partially offset by benefits from revenue leverage, currency, restructuring savings and reduced bank fees related to Durbin. We believe our consolidated margins will improve as we move through the year, and we are still targeting GAAP margins of around 25% or margins, excluding Travelex integration expenses, of around 26% for the full year. Business Solutions margin should improve throughout the year as we benefit from revenue leverage and the beginning of some operating synergies in the second half. Consumer money transfer margins should also improve due to revenue leverage and timing of expenses. There were no restructuring expenses in the first quarter of 2012 as we completed all of our activities in the third quarter of last year. We realized approximately $18 million in restructuring savings in this year's first quarter. We continue to expect approximately $70 million of savings in 2012, or an incremental $15 million, compared to 2011. The tax rate in the quarter was 14.8%, which compares to 23.5% in the first quarter of last year. The decrease in our tax rate is primarily due to the resolution of the treatment of our international operations, as we noted in the announcement of our agreement with the U.S. Internal Revenue Service on December 15, 2011, and the benefit of some small non-recurring adjustments in the quarter. For the full year, we still expect a tax rate of between 16% and 17%. Earnings per share in the quarter were $0.40, which compared to $0.32 in the prior year, or $0.35, excluding restructuring charges. Excluding last year's restructuring expenses, EPS increased 14%. First quarter 2012 EPS also rounded to $0.40, excluding the $6 million of pretax Travelex integration expenses. The C2C operating segment margin was 27.7% compared to 28.6% in the same period last year. The margin benefited from revenue leverage, currency and restructuring savings and was offset by increased marketing, Costa and Finint acquisition-related expenses, investments in westernunion.com, compliance costs and timing of some expenses. Within C2C, marketing as a percentage of revenue increased 60 basis points compared to last year's first quarter. Costa and Finint are currently negatively impacting margins, but once we complete the integration and begin to realize cost savings, we should see positive contributions to margins later in the year. The Consumer-to-Business operating margin increased to 26.5% compared to 22.6% in the prior-year period. The margin increased primarily due to the impact of lower debit processing expenses related to Durbin. As a reminder, the reduction of debit fees due to Durbin is having a positive impact on our C2B margins, although it will negatively impact revenue in some cases as we pass through the savings. Business Solutions reported an operating loss of $15 million for the quarter compared to an operating loss of $4 million in the prior-year period. Last year's loss does not include Travelex Global Business Payments. This quarter's $15 million loss included $14 million of intangibles amortization and $6 million of Travelex integration expense. Intangibles amortizations in last year's first quarter was $4 million. As mentioned, the Business Solutions profitability should improve throughout the year as we benefit from revenue leverage and cost savings. Turning to our cash flow and balance sheet. We remain in a strong position. Cash flow from operations for the quarter was $215 million, which includes the impact of approximately $65 million of tax payments relating to the agreement with the IRS. Capital expenditures in the quarter were $76 million or 5% of revenue. As we noted in February, capital expenditures as a percent of revenue will be higher this year due to increased signing bonuses on agent contracts for several major renewals, and we are aggressively pursuing new agent signings. We are also adding to investments in westernunion.com and other new technology. We expect capital expenditures to get back to 3% of revenue on average after 2012, although any given year could be impacted by additional new agent signings or other initiatives. Depreciation and amortization expense was approximately $64 million in the quarter. At quarter end, the company had debt of $3.6 billion and cash of $1.4 billion. Approximately 1/2 of the cash was in the United States. We continue our strong capital deployment policies. We resumed our share repurchase activities in the quarter, repurchasing 8 million shares totaling $147 million at an average price of $17.69. This represents 1% of the total shares outstanding. As of March 31, our shares outstanding were 614 million shares. We have approximately $470 million remaining under our existing authorization, which expires at the end of 2012. We also increased our quarterly dividend by 25% to $0.10 per share and paid out $62 million in dividends. We remain committed to continuing with strong return of funds to shareholders throughout the year. Finally, we are affirming our full year 2012 financial outlook, including all the metrics provided in our February earnings release. In summary, our Consumer-to-Consumer business has started the year well, and we believe we will see better results from Business Solutions and stronger margins as we advance through the year. We are making good progress with the Travelex integration and in establishing other new growth areas in Ventures. We will continue to deploy our strong cash flows to reinvest in the business and return funds to shareholders. Operator, we're now ready for the first question.
Operator: [Operator Instructions] The first question comes from Darrin Peller of Barclays.
Darrin D. Peller - Barclays Capital, Research Division: It looks like the trends on the transactions were a little bit stronger than, at least, we expected, and I'm curious. I mean, a lot of the corridors that you had some questions about last quarter, including Russia and Mexico, seem like they've hung in there, especially Mexico. Your revenue is also a little bit better than your guidance range, your constant currency revenue at least at about 5%. So what's inhibiting you from bringing the guidance up? Or are we just too early at the point right now, given, I guess, last quarter was around 3%?
Hikmet Ersek: Darren, this is Hikmet. Yes, I think, generally, I would say that we have stayed too cautious because given the uncertainty in Europe. We do have some improvements in North America and in Middle East, Africa, Asia Pacific regions, but I would say that I would -- it's too early to give a different guidance than it is. We are affirming our guidance. We are very pleased with the quarter with our -- especially in the C2C revenue. I think the transactions are coming. There are some positive improvements here. But given also with what yesterday announcement already, what happened to the stock market, right, on the -- about the U.S., about the European news, I would say that I'm staying still cautious here for generally, and we -- but I'm affirming the revenue guidance.
Darrin D. Peller - Barclays Capital, Research Division: Okay. Hikmet, just to clarify: I mean, we're now at, again, a little bit of a higher growth rate. Can you just give us a little more color, specific color, on what actually might have surprised you this quarter versus what you had expected when you gave that guidance? Because it looks like some of the corridors certainly were a little better.
Hikmet Ersek: Well, I think I didn't -- nothing specific surprising. I would say that the people are on the field and they are really giving us good indications about that. I think we have the same challenges, like in Russia, like in Mexico corridor. Their continuance to softness in some parts of Europe is here. But also, that gives us how good our business, how good is that, to be in 200 countries. The portfolio, managing the portfolio being in 200 countries has up and downs. But also the -- within the Europe even, like countries like Germany are growing good and gives us a comfort zone to affirming our guidance.
Darrin D. Peller - Barclays Capital, Research Division: Okay. Just last question for me, and then I'll turn back to the queue. But on the margin side, you said -- I think, Scott, you said earlier the margin should show improvement through the year. Is it just growth on the top line and scale? Is it the timing of costs and marketing? Can you give us a little more color on specifically why through the year we'd expect it to ramp up?
Scott T. Scheirman: Sure, Darrin. If you will, on a full year basis, we're still targeting operating margins of 26%, excluding the integration costs and EBITDA margins of 30%, excluding the integration costs, if you will. So we see a path there. A couple things that will be helpful as we move forward the next 2 to 3 quarters: First, it's the fixed cost leverage from higher absolute revenue as we move through the quarters; and then also improvement in Business Solutions. We currently have some heavy upfront spending there. We'll see some cost savings as we combine Travelex and Western Union Business Solutions later on in the year and then just better revenue growth from Business Solutions as we move through the year. Also, there's other things, Darrin, to a lesser extent, but Costa and Finint will have a lower integration spending and begin to see some of the synergy savings in the latter half of the year. And then we just did have timing of operating expenses, some with IT and operations. So some of the timing was heavier in the first quarter compared to other quarters. And the other thing I would add is as we run the business, you'll see some variation in margins from quarter-to-quarter but really making the right investment decisions, the right business decisions to drive growth and market share.
Hikmet Ersek: Just on -- add on that, Scott, Darrin. Incremental investment in -- like in westernunion.com, right? I mean, it pays back. You could see there’s almost 40% growth. And people. We opened our office in San Francisco. We are hiring people. I think they are growing, and we want to grow that business faster. We have a target about, in 2015, $500 million. And I'll give you -- going to give you more color on that at our May Investors Day, 9 -- May 9 Investors Day in New York. But I'm very pleased with the investments. And they are long-term investments and they are going to pay back.
Operator: And the next question comes from Bryan Keane of Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: I just want to ask about any correlation to the improvement in the C2C transactions. But the margins were a little bit lower than we expected. Is that due to -- I mean, any of that pick up in transaction growth due to the marketing or anything we can point to exactly that actually hurt the margins but helped transactions?
Scott T. Scheirman: Bryan, not specifically, if you will. If you look at each of the regions, 4 of the 5 regions did see improved revenue growth Q1 over Q4, if you will, so it was very much on a global basis. And markets such as the Germany were strong, Philippines, India, U.S. domestic, so it was really around the globe where we did see strength for the most part. Again, there are some challenges in certain geographies, but as we look at the C2C margins, they were down about 90 basis points, if you will. Year-over-year, marketing was up about 60 basis points, but on a full year basis we'll run marketing right around 4% of revenue, so you will get some variation quarter-to-quarter. We also had some costs for the Costa and Finint integration. Again, as we move through the year, we think that will be helpful to margins. And then, just some timing of expenses. So nothing particular line of sight. I think it's a good execution around the globe and the benefit of having the portfolio of being in 200 countries. No country outside of the U.S. is greater than 6% of the top line, so the portfolio is definitely helping us.
Bryan Keane - Deutsche Bank AG, Research Division: Okay. And then just looking at the metrics, last year, C2C transactions started off the first quarter at 7%, then it went 6%, 5%, 5%, to fill out the -- 6%, 5%, 5% to fill out the rest of the year, so it decelerated slightly. I guess any thoughts on what the outlook might be for transaction growth? Will it remain at this 7% level? Will it increase; will it decrease a little bit, like it did last year?
Hikmet Ersek: Well, Bryan, in our business, it depends really change in by corridor-by-corridor and by quarter-by-quarter, right? But generally, I'm -- once again, I'm affirming my revenue guidance. I gave it beginning of the year. I feel quite comfortable with that. And we had a good quarter and a better quarter than last, Q4. And I think I'm pleased with the business results.
Bryan Keane - Deutsche Bank AG, Research Division: Okay. Last question for me, just on the Latin America region. I guess revenue grew 2% and then transactions grew at 8%, that's a 6-point delta, a little larger than typically we've seen. Can you just help us understand the delta there?
Scott T. Scheirman: Yes, Bryan. There definitely was some currency impact there. So if you were to currency-adjust the lack of number, the 2% -- I'm not saying it would be 8%, but it would be 2% revenue growth would be closer to 8% than the 2% that you're saying. The delta would be much smaller.
Operator: And the next question comes from Tien-Tsin Huang of JPMorgan.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: I just want to ask about the B2B, the Business Solutions segment. I didn't quite hear. How did that perform versus planned in the first quarter? And I think I heard that it was cyclically a little bit challenged, but I also wanted to confirm if we're still looking for $400 million for the year in terms of revenue.
Hikmet Ersek: I think, first, Tien-Tsin, we are -- as I mentioned before, we are committed to our low double-digit growth for the coming years. I think we did some -- see some softness in our U.S. and U.K. business due to global trade and due to currency volatility and -- but we did also very strong growth in our Australia business. I would say that the quarter came a little bit softer than I expected, but I am committed -- we are committed for the low double-digit growth.
Scott T. Scheirman: Yes, the only thing I would add, Tien-Tsin, from quarter to quarter in this business, you do see some variation in revenue growth rates. If you look at the second half of 2011, because there was a lot of currency volatility in the marketplace, you did see some higher growth rates and some variations among the quarter. While we think, in the first quarter, we had good -- very good growth in Australia, Asia Pacific, some softness in U.S. and U.K. Some of that is really due to trade being a little bit soft and then just, I'd say, lack of currency volatility. But we are committed. I -- we see line of sight to growing that business low double-digit, pro forma revenue growth for 2012 and right around that $400 million of revenue that you asked about.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Great. So some of it is going be easier comps around FX volatility, but did you also sign some new distribution points as well? I'm just trying to...
Hikmet Ersek: Yes, absolutely, Tien-Tsin. We are -- as you recall, we were in 16 countries as we acquired Travelex and put them together. Now we are in 25 countries. We just announced the -- one of the biggest pension payments organization in U.K., Mercer, and they are paying out to U.K. pensions and retirement people in 80 countries, so I think we are getting new accounts here. So the -- we have sales people that are quite active. And our agents. I just came back from Asia, from Indonesia and I met some agents there. They are very excited about the opportunity to launch new services B2B.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Okay, great. Last one, just sort of a bigger picture question, I'm sure you'll talk about this at the Analyst Day. But WU Pay, I've just been doing some work around that area. Is it fair, Hikmet, to call this your, I don't know, a digital cash wallet, maybe...
Hikmet Ersek: Yes.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: So I'm curious, is it live now? What's the activity like? How many billers do you have? And is it -- should we think about this potentially being added to other marketplaces in the future? I'm just curious what the quick plan is on that.
Hikmet Ersek: Absolutely. I think it's too early. We are going to give you more color, as you say it, in May 9. But you could -- you may call it a wallet, but I call it WU Pay. It really gives the capability to the -- to our customers to use also not only their account from a credit card fund, their account from a credit card, but also cash funding. Many customers are not -- don't want to give -- purchase online goods, don't want to give their credit card numbers or online account numbers. They can go through 1 of the 500,000 locations in the future. Now it's only in the U.S. but also in the future -- and pay their bills there. So that gives the capability. And the good thing here also, we want to also add that on our westernunion.com, which is growing, by the way, by 40%, as you know. And having direct access to the customers, their accounts, I think it's a -- that's the eBillme, which we acquired about 6 months ago, and now we changed it to WU Pay. We are using our existing brands, Western Union brands, and promoting that to our new potential customers.
Scott T. Scheirman: Yes. So Tien-Tsin, it's live for online payments to merchants. So we've got several hundred merchants there where they're connected to. And then it'll be live for payment on westernunion.com in the next couple of months.
Operator: And the next question comes from Ashwin Shirvaikar of Citi.
Ashwin Shirvaikar - Citigroup Inc, Research Division: I guess my first question is -- you do have, this year, several major renewals in C2C. What should we expect from that? I mean, lower commission rates, is that on the table? Exclusivity? Any comments yet on those things?
Hikmet Ersek: Well, we -- as you know, Ashwin, we have some principles. I think we like our brand, we like our exclusivity because I believe that our brand attracts customers to the point of sale. And we would like to protect our brand and protect our premium pricing. This kind of -- depending also about the market, of course, but generally we are in line with our principles here. Of course, we want to expand our -- we have now our -- today is a big day for Western Union. We opened our 500,000th locations. Actually, we are going to open in lunch time our 500,000th location with a press conference, everything. And I would like to expand our touch points. As I mentioned at the last conference call, we are having a target of what, 1 million touch points globally to reaching our bands. We are going to -- aggressively going to sign new agents. We're going to -- but also improving our margins. Over the years, our costs of sales have been decreasing, and we would like to go that path. And we hired new sales people. One of the biggest investments we did the last 2 quarters are hiring new sales people on the field and expanding our sales approaches. That's going to continue.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Okay. And moving to the B2B, can you comment on the relative importance to revenue growth of things like currency volatility versus new client signings, trade trends? What's sort of a -- actually, if you can just comment on the relative importance of that.
Hikmet Ersek: Well, obviously, the existing customers’ revenue has to grow because it's a core in the B2B, right? I mean, that has -- we saw some impact here, with the exits in North America and U.K. Part of the world which the currency exchange rate was favorable to us with the -- where the -- our existing customer wants to trade, they use us, like in Australia and Asia. New agents, new -- sorry, new client signings are very aggressive. We are -- as I mentioned before, we are in 25 countries. We are signing new ones and it takes some time until they come up with revenues. But one of the new Western Union, you will see that be more aggressive at the market and signing new clients. And we are doing that, and within the -- it has been only a few months we acquired Travelex and we put it on the Western Union Business Solutions. We started with 16 countries; we are already in 25 countries. That impact will take some time, but you'll see it.
Scott T. Scheirman: And I'd just add, Ashwin, that our global market share is right around 2%, so we really have an opportunity to globalize this market. It's very underserved. And we believe our brand, our global footprint, our compliance capabilities, all those things play very well to globalizing this space over the coming years.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Understood. One housekeeping question. Share count did not go down in spite of the buyback. Was that timing in the quarter, or issuance? I mean, can you comment on that?
Scott T. Scheirman: The -- it'd probably just be timing because what you're probably referring to is that both in the fourth quarter and the first quarter, we had roughly 622 million shares -- diluted shares outstanding that we are focused on. Yes, it would just be timing, if you will. What I will say with stock buyback, since we're on that topic, is that we bought back about 115 million -- I'm sorry, about 150 million shares -- $150 million worth of our stock. We plan to be active. Our buyback levels are probably somewhere in the range of at least on 2009, 2010, so $400 million to $600 million, somewhere in that range, from that standpoint.
Michael A. Salop: And Ashwin, we've called out, at the end of quarter there were 614 million basic shares outstanding.
Operator: And next question comes from Julio Quinteros of Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Just one quick housekeeping question. Can you go back through the domestic international and Mexico transaction and revenue growth numbers, per the old disclosures, so we make sure we have those mapping correctly?
Scott T. Scheirman: Sure. The domestic business had 12% transaction growth in the quarter and 9% revenue growth, so very solid in the first quarter. And then the Mexico business, Julio, had transactions and revenue both growing at 3% in the first quarter.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay, got it. And then the international piece? Sorry.
Scott T. Scheirman: Oh, the international piece, you would see 6% transaction growth and 4% constant currency revenue growth on the international piece.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Got it, okay. And obviously, we've talked a lot about the Business Solutions piece. In terms of revenue improvement, it sounds like you guys reaffirmed the $400 million. I guess I'm just trying to get more specifics on what is it that gives you guys the confidence in the line of sight, if you will, on the improved revenue performance with Business Solutions segment.
Hikmet Ersek: Well, I think, first of all, we believe that the existing customers are going to use as we -- as the currency exchange rate changes. And it has -- it's nothing, Julio, it's nothing -- it happens in this business, depending on the quarters, depending on the months when the trades happening, that's one. And secondly also, the new signings are coming very strong and we are signing new clients here. That's makes me comfortable with $400 million.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Right. Yes, I think I mean -- for us, I mean, obviously this is an area that's a little bit newer in terms of trending out and trying to understand what the drivers are. So I mean, at this point, if you had to make a suggestion on what we would -- what we should be focusing on, it sounds like FX volatility might be something to be tracking. Are there any other sort of macro metrics or external data points that you would suggest would also be important indicators for the business, though?
Hikmet Ersek: Yes, that's the first one. And the second one, I will definitely add the global trade, especially for the SMEs. The global trade within the SME sector is something that you may have a look.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay. And then on the bill payment business, obviously the -- well, that, the disclosure in terms of the margins does give us a pretty nice look in terms of the margin profile of that business now that we can sort of see that separate from the Business Solutions segment. I'm trying to understand what you guys think is kind of the margin profile of that business longer term. Obviously, some benefits post the debit interchange rule changes, et cetera and much stronger performance and, I think, what we were even thinking about here in terms of the model. But where do you think that margin goes from here? And what are the most important drivers over the longer term for the bill payment segment, if you will?
Scott T. Scheirman: The drivers, like it would be for most businesses, is top line revenue growth. And on a constant currency basis for revenues we’re up 3% in the first quarter. Now as we move through the year, we may see some -- because of Durbin and some pass-through, may see some impact on the top line. But we see the C2B business as being steady, for sure, Julio, from that standpoint. And so a key driver of the margins will be the revenue growth. Without getting real specific, I mean I do feel comfortable that it's a type of business that it's going to have a margin that will at least have a 2 in front of it, as we move forward. It's a good business. It's in the U.S.; it's in Argentina and we're doing some things internationally, and it complements our money transfer business very well. And I think it will be a very profitable business with at least 2 in front of the margin as we move forward, for sure.
Operator: And the next question comes from Glenn Fodor of Morgan Stanley.
Vasundhara Govil - Morgan Stanley, Research Division: This is Vasun Govil for Glenn. Can you just quickly update us on the compliance situation in Mexico, how that is progressing and by when do you expect to be in some compliance?
Hikmet Ersek: Yes. I think, as we mentioned in our February Earning Calls, we have been working with the appointed external monitor very close and to terminate -- appreciate changes, which was outlined in our agreement, and improvements about anti-money laundering oversight along all the border. I think we did do some changes last year on Vigo and on Orlandi Valuta brands and also on our brand's ID threshold changes which has impacted our high-principal transfers which we still see it. And currently, we are also investing on the new technology changes. And we have other many projects underway. So we believe that these changes have affected our principal and market share in 2012, but we also believe that these changes are needed. These changes are happening and we've been -- we're going to be the -- as an industry leader, we are implementing the changes. And that will also impact all the industry long term, yes.
Vasundhara Govil - Morgan Stanley, Research Division: And then just also recently, research piece by the Pew Hispanic Center seemed to suggest that migration from Mexico to U.S. has steeply declined and that there's actually a reversal of trend where Mexicans are leaving the U.S. and that trend has picked up. Can you comment on that and how you see that impacting long-term growth in that corridor?
Hikmet Ersek: I think we believe that Mexico corridor for us is a very important corridor, right? I think we are going to -- we believe there's still room to grow. I believe that we're going to continue to invest on that. I didn't see any big changes on our current business impacted by migration changes, but as I said, the biggest impact has been around our compliance programs.
Scott T. Scheirman: Yes. And I'll just say, as reminder, I think everyone probably knows this, but part of what we're saying is that Mexico is only about 6% of our top line, so it's one of many markets. When you think about a portfolio of business, Mexico is an important market but just 1 of 200 countries.
Hikmet Ersek: And these changes have been in 200 countries, and in many, many years, many migration regulations, all this has been here, so...
Operator: The next question comes from Jim Kissane of Crédit Suisse.
James F. Kissane - Crédit Suisse AG, Research Division: Have you seen any improvement in Italy since the tax was rescinded, I guess, about a month ago?
Hikmet Ersek: Well, I would say that, generally we don't give specific country numbers in -- but I would say, generally, this implementation has been for all country. It's -- doesn't impact Western Union or the others. And the Southern European area stays as a challenging area, still. We do see in total in Europe business a little bit improvement, but in Southern Europe, I would say that we are -- I'm still cautious there.
James F. Kissane - Crédit Suisse AG, Research Division: And Scott, just to clarify: Higher FX volatility is actually positive for B2B, right, because you can generate a bigger spread? Is that the case? So you have actually more difficult comps in the back half of the year. Is that...
Scott T. Scheirman: What -- where volatility really helps us is it just creates, if you will, Jim, uncertainty in the marketplace. And so customers are more likely to be active trading forwards or options, if you will, if the currency’s, if you will, moving all over the board. So it generally incites people to come into the market and, if you will, transact.
James F. Kissane - Crédit Suisse AG, Research Division: Okay. So you don't get a higher spread, is what you're saying when it's...
Scott T. Scheirman: It can vary a tad bit, but it's not a big factor. It's really just the volatility drives, if you will, customers into the market because of some uncertainty of where rates might end up, right? High or low, good or bad, depending upon where you're standing.
James F. Kissane - Crédit Suisse AG, Research Division: Got you. And just longer term, where do you see B2B margins, say, 3, 4 years out?
Scott T. Scheirman: Jim, I think that is a very leveragable business model, so as we look 3 to 4 years out, I do see that the EBITDA margins can be somewhere around where we're seeing the company margins today of 30%. It's a very leveragable business model. We're spending $50 million to very well integrate the businesses in 2012. And I think that's going to give us really good technology, really good product offerings. And that fixed cost structure, if you will, we can leverage. And I see, down the road, we could have margins around -- EBITDA margins around that 30% spot.
Operator: And the next question comes from David Togut of Evercore Partners.
David Togut - Evercore Partners Inc., Research Division: Hikmet, at your Analyst Day in September of 2010, you highlighted reduction in agent commissions as these contracts come up for renewal as a major driver of a long-term margin expansion. How far are you through that cycle of reducing agent commissions? And can you quantify expected savings for this year?
Hikmet Ersek: Well, generally, as you know, over the years, our agent agreements are long-term agreements in 5- to 7-years agreement. And we have about -- it gives out many, many thousands of agents, which gives us 500,000 locations, so depending on the country, depending on the cycle of the agents. But generally, we are driving our costs down. We had -- cost of -- what was the costs on the...
Scott T. Scheirman: Yes, if look at -- David, cost of services in 2010 x onetimers was about 57% of our revenues, if you will. And then if you fast-forward that to full year 2011, it's 56%, so down about 100 basis points, our cost of services as a percentage of revenue.
Hikmet Ersek: And as we move forward with the agent negotiations, we are still targeting lower commission rates. But it's also a win-win situation. Agents also have to win. We have to win. I think, generally, the direction is we are having lower costs of services.
David Togut - Evercore Partners Inc., Research Division: Do you have a target for cost of services for this year and next?
Hikmet Ersek: We didn't disclose that, but generally, it's in line with our -- we are keeping it, let me say, lower.
Scott T. Scheirman: Yes, I'd say, David, we have a spot that we want to get to. We've got, like every business, a 3-year business plan, so we have a roadmap of where we want to head. But without getting into a lot of specifics, for a pot of reasons, one of our objectives in 2012 near term is to have 26% operating margins, 30% EBITDA margins. And a combination of revenue growth, productivity initiatives such as agent commissions offset by some investment spending will allow us to get to those 26% margins.
David Togut - Evercore Partners Inc., Research Division: Just finally, on capital deployment. You indicated a target repurchase this year of $400 million to $600 million. What should we expect for dividend policy this year? And are you done with big deals for now?
Scott T. Scheirman: I would say on -- let me start with the acquisition front. We'll continue to look at things, David, but near term, I don't see us doing any sizable acquisitions, if you will, from that standpoint. From a return of capital, clearly, investing in the business is important. As I mentioned, I don't see any large acquisitions in the near term. And then, getting our capital back to our shareholders is very important. About 60 days ago, early February, we increased our dividend by 25%. It has roughly a 2% yield right now, but we also believe, given where the stock price is at, that it's undervalued. We think it's important to being -- to buying back the stock. As we look forward, the management team will work with our Board. We continue to want to have a balanced payout, all things being equal. And if the business performs, we'd like to move the dividend along, too, if the business performs.
David Togut - Evercore Partners Inc., Research Division: So does that mean the payout ratio will increase this year?
Scott T. Scheirman: No, I don't have --- I'm not giving you specific targets for 2012. We just did raise the dividend by 25% in February. And I think, historically, we've got a very good track record of raising the dividend at least annually.
Operator: And the next question comes from Jason Kupferberg of Jefferies.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: I just wanted to start with a question on the principal per transaction growth. I think that metric, even in constant currency, slipped a little bit this quarter, which you highlighted on one of your slides. I wanted to just get a sense of whether that was due to Europe or any specific corridors. And do you expect it to stay in slightly negative territory for the next couple of quarters?
Scott T. Scheirman: Yes, Jason. Really, I would point you to just a couple markets. And again, it's the portfolio approach of being in 200 countries. But Russia where we have some challenges, that carries a higher average principal per transaction. So when that business is soft, it has, if you will, a bigger impact on the consolidated number. And then, also China. For example, out of Argentina to China, we're seeing some very high dollar sends. And for a number of reasons, we pulled back on that business. So the Russia and the China corridors are impacting that principal per transaction. I think what's key with our business, the biggest driver behind our revenue is the customer and the transaction, getting the customer in the front door, whether it's retail or electronic, and that's what drives the revenue growth.
Hikmet Ersek: Also, DMT has an impact.
Scott T. Scheirman: Yes. And DMT had somewhat of an impact because of the $5 for $50. DMT continues to be successful, with 12% transaction growth and 9% revenue growth.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Right, right. Okay, that's helpful. And just to pick up on a couple of your earlier comments. Scott, I think you had referenced your 3-year business plans and you did talk a little bit about, over the next 3 to 4 years, where you see B2B margins specifically could go. Just given the fact that you guys obviously are in investment mode as it relates to electronic channels and talking about some of the longer-term payoffs there, what will be the right time for you guys to talk about some longer-term financial targets in terms of ranges at least for overall revenue and EPS growth and potential margin trends? I mean, is that something that we can conceivably start hearing about at your analyst meeting next month, or are we going to have to wait a bit longer than that?
Scott T. Scheirman: Jason, I think you're going to -- at the Analyst Day, we've got our -- Hikmet and myself and our 50 business leaders. We're going to talk a lot about our strategy of where we're heading not only near term but long term from that standpoint. And the objective at the Analyst Day would -- is to, if you will, give you all the building blocks, if you will, so on a long-term basis, you can kind of take your view of what is the revenue growth, the margin profile, EPS. But we'll really give you those building blocks and strategies that I think will be helpful as you look out the next 3 or 4 years.
Hikmet Ersek: Yes. As we stay still very optimistic, and we're -- I'm looking forward to the next years, coming years. I mean, we did give some indications, like the westernunion.com, like having a $0.5 billion business year 2015. We give some indications on the Western Union Business Solutions and all these things. And you're going to get more color. And I just wanted to extend my invitation to all on the call again for the Investors Day in New York, May 9. That will really give you more color about the new Western Union, about how we change and to take the company to the next stage adding new products and new services. I think that will give a kind of -- for you an indication of where The Western Union could be in 3, 4 years.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: And just last for me. Any update on PSD initiatives in Europe perhaps in terms of incremental agent locations you've been able to secure or any other metrics you're in a position to share?
Hikmet Ersek: Certainly. On the PSD, we added about -- we're almost at 10,000 locations. We are at -- on 9,000 -- more than 9,000 locations. I think we are expanding very good there. So it's all -- the 10,000 locations are of course in only the retail locations, which we were not -- in the past, not allowed to open. Now we can open them. I think it brings us additional revenue. I'm pleased with the progress we are doing with the PSD.
Operator: The next question comes from Andrew Jeffrey of SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: As a follow-up to Bryan's earlier question with regard to the branch buildout, Hikmet, I think you've been pretty clear you've -- that's one of your initiatives in terms of accelerating the growth and increasing the Western Union footprint. Do you have some thoughts as to when we may see the benefits of that initiative in terms of faster C2C revenue growth? Are we seeing that today? What kind of payback from a timing perspective do you expect on those investments?
Hikmet Ersek: First of all, our business is growing with the expansion of our network. I mean, that’s very clear. We've been -- I've been now with the company 13 years, and I remember as we celebrate our 100,000 locations. Now we are celebrating today our 500,000 locations. So that has been -- without that expansion, we wouldn't be so successful. I just want to remind you that a few years ago we had a 7% market share, and we are now around 17-plus-percent market share on the remittance market, cross-border marketed. And that's due to expansion of our network. And we have this vision of having 1 million locations because that gives also not only on the core business, which we believe it's going to grow transfer location-to-location, money transfer, but it also has this big impact to our westernunion.com, WU Pay, really connecting electronic with locations. Nobody in minutes can pay for -- from so many countries to 500,000 locations from westernunion.com. I could, say now as I'm sitting in New York, send money to anywhere to 200 countries, to 500,000 locations in minutes money. So that's going to expand, that's -- we have these 1 million touch point. One other thing is also, as you know, recently we've launched ATM Money Transfer in Italy; we launched ATM Money Transfer in Japan; we launched ATM Money Transfer in Turkey. So it's not only working in other location, it's also using the electronic in a different way. And we're going to continue that. I mean, it's already paying back. Westernunion.com wouldn't grow almost 40% if you wouldn't have the location globally. So the team is very focused, and I'm very pleased with the progress.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: So maybe think about the branch buildout strategy as part and parcel of the kind of growth we've seen in the last couple years, and maybe cyclical factors are going be more of an impact on the C2C transaction revenue growth prospectively?
Hikmet Ersek: Yes, I can give you more color in May 9 meeting and so you're going to hear it more. But the other thing also, what brings us the location expansion is adding new products like our stored value products, prepaid cards. I think we have -- and you're going to see that we have this vision, as we are the biggest money transfer network of the world, we would like to have been also the biggest pre-load and cash-out network of the world. And to do that, I think we have to expand on our brand health, our agent network health, our presence in 200 countries and the regulatory environment health.
Michael A. Salop: Great. I'd like to thank everybody for joining us. As Hikmet mentioned, we do have our Investor Day on May 9 in New York, so we hope you'll be able to join us there as well. And I wish you all a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.